Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Second Quarter 2021 Financial Results Call. I must advise you this conference is being recorded today, Wednesday, the 28th of July, 2021. We would now like to hand the call over to your first speaker today, Yulia Gerasimova, Investor Relations Director. Please go ahead.
Yulia Gerasimova: Hello, everyone and welcome to Yandex second quarter 2021 earnings call. You can find our earnings release and supplementary slides on our IR website. The key speakers on our call today are Tigran Khudaverdyan, our Deputy Chief Executive Officer; Daniil Shuleyko, the Head of E-commerce and Ride-Tech Business Group; Svetlana Demyashkevich, our Chief Financial Officer; and Vadim Marchuk our Chief Operating Officer. Yevgeny Senderov, Chief Financial Officer of Yandex.Taxi will be available on the Q&A session. Now, I will quickly walk you through the Safe Harbor statement. The various remarks that we make during the call regarding our financial performance and operations may be considered forward-looking and such statements involve a number of risks and uncertainties that could cause actual results to differ materially. For more information, please refer to the Risk Factors section of our most recent Annual Report on Form 20-F filed with the SEC. During the call, we'll be referring to certain non-GAAP financial measures. You can find a reconciliation of non-GAAP to GAAP measures in the earnings release we published today. And now I’m turning the call over to Tigran.
Tigran Khudaverdyan: Thank you, Yulia, and hello everyone. Let me give you a quick overview of the key highlights from the second quarter. I will start with e-commerce which is a key area of focus for us in the moment. We're encouraged by the progress the team is making. Total e-commerce GMV grew 2.6x in the second quarter, which we expect to be ahead of our major competitors. Yandex.Market on a standalone basis continued to accelerate these GMV growth to 144% in Q2 from 126% in Q1. This is despite coming from a high base. Q2 last year was the strongest for Yandex.Market with GMV growing 3.5x. We have significantly expanded our assortment and logistic infrastructure, while also investing time and resources into improving the quality of our service for both customers and merchants. It's important to know that the investments we are making now will not only support our growth this year, at least half of what we spent in 2021 will form the basis for solid growth in the future. Daniil will talk more about our achievements in e-commerce later. I will just mention that thanks to the team efforts. We expect to grow faster this year than initially anticipated. And we believe that our new full year target of up to 3x GMV growth will help us to improve our market share and narrow the gap with our competitors. Our strong results in e-commerce were also supported by our subscription program Yandex.Plus. The total number of subscribers increased to 9.5 million in July. The team has been particularly focused on improving the share of paying subscribers, which exceeded 75%. Our strategic goal is to grow the paying subscriber base as fast as possible to cement our leadership in subscription market and to further expand the gap between us and our competitors, or relationships between Yandex.Plus and our key transactional services remain highly synergetic especially for e-commerce. The segment contributes greatly to the issuance of Plus points, and also benefits from the redemption. This improves our customer loyalty and business growth as Plus members generate more orders per customer, enhance higher GMV. Plus subscribers generate around 50% of market at each GMV and over 70% of Lavka GMV. The success of Yandex.Plus is closely related to the development of our KinoPoisk content platform. One of our latest hits a movie called Major Grom: Plague Doctor, which Yandex co-produced was sold to Netflix, and was number one in the Netflix global charts in July. We're very pleased that in Q2 Netflix became the leader in the video on demand market in Russia by both total as well as paying subscribers according to recent GFK [ph] study. Let me give you a few words about our key cash generating businesses, advertising and ride-hailing. Starting with advertising. Our core advertising business performs extremely well. We are seeing a recovery in our ad revenue growth on a normalized 2 year stack basis driven by strong performance in Search and other Yandex properties, which has been supported by macro recovery as well as improving search quality, our ad tech investments and progress with SMB. In June, we rolled out a new search engine update with more than 2,000 improvements, which among other things help us to reach a record high share of 59.5% on Android in Q2 2021. We're encouraged by the progress with SMBs and our simplified subscription ad product, which already generate over 20% of all new ad clients for Yandex. Zen continues to be our key platform for video ad development. Video quantum has be-come the top generator in terms of time spent outperforming articles. The share of video time spent increased from 25% in March to 28% in June, and is continuing to grow. We also continue to invest in ad tech to improve ad efficiency for our clients and to further increase our market share. We recently launched Campaign Wizard, which not only helps advertiser to simplify the process of creating ad campaigns, but also demonstrates solid retention rate for new clients of Yandex ad business higher than those achieved by the professional interface. With this and a number of other improvements, the share of our ad revenues based on CPA conversion strategies increased from 20% in April to 25% in June. Within the Yandex ad network specifically, the share went up from 30% to 40% in the same period. Thanks to the efforts we have seen faster-than-expected growth of our advertising business, which again allow us to upgrade our expectations for the full year. Svetlana will talk about this in more detail. Continue with the ride-hailing. Our year-on-year growth was obviously high, given the low base from last year. But what is important is that we are also seeing an improving 2 year stack growth for both ride and GMV. Daniil will share more details about it later. This quarter, we disclose the adjusted EBITDA margin for our ride-hailing business for the first time. I'm extremely proud for the progress we have made since we first became profitable at the end of 2018, making us the most efficient ride sharing company globally with a margin of 3.5% of GMV. Overall, we're very confident in the growth and profitability prospects for the ride-hailing business as well as in our market position. Together our high margin advertising and the ride-hailing businesses should allow us to continue investing into new attractive growth opportunities and to expand our total addressable market. Lastly, our self-driving group. We signed a partnership with Grubhub for Robot Delivery in the U.S college campuses. Grubhub partners with more than 250 campuses across the U.S with a population of over 3 million. Yandex will act as a delivery management company. The first 50 rollers are now being sent to Grubhub, and we will be rolling out the service at selected campuses later this fall. This partnership is an international validation of our technology, and proof of its competitiveness versus other local and global players. It demonstrate the quality of our autonomous technology and shows that we can tap into a substantial addressable market beyond the existing ecosystem. In conclusion, I wanted to say that we are focused on investing in future growth across many verticals, including e-commerce, media services, cloud, self-driving and fintech. In all these segments, we’ve seen opportunity for Yandex to be-come one of the leading players and we expect our investments to translate into market share gains and creating conditional shareholder value. With this, let me turn the mic over to Daniil.
Daniil Shuleyko: Thank you, Tigran, and hello, everyone. Second quarter was another excellent quarter for the e-commerce and ride-hailing business group. Let me start with e-commerce business. They have delivered strong GMV growth of 165% of total e-com and 144% for Yandex market alone, despite the tough comparison this prior year. And we’ve seen a future acceleration of growth rates in July. This total e-commerce GMV increase of approximately 2.8x to 2.9x. In Q2, share of 3P GV in Yandex market increased to 70% compared to 56% a year-ago. Now this market orders were up 140% year-over-year and reached RUB6.9 million. More importantly, we have seen a solid trends in all the frequency. The average orders to ex customers in Yandex market increased by approximately 10% compared to the first quarter of 2021 and keep improving. We are continuing the active integration of merchant from price [ph] comparison to marketplace. Categories like consumer electronics and appliances, FMCG as well as significant part of gifts category have been moved to CPA [indiscernible] during the quarter. As a result, we expanded our positions in the top categories, especially in the capital cities. Based on our internal estimates, [indiscernible] our key competitor in Moscow. We have achieved an impressive expansion in assortment in just 3 months since the end of the first quarter. Total number of case increased by 4.5x to almost 70 million. Please note, our price comparison experience allows us to more accurately avoid double counting the number of SKUs compared to the standard market practice. We have also made a material progress in logistics infrastructure. The total fulfillment capacity reached 257,000 square meters across 7 warehouses and another 32,000 square meters across more than 50 owned and CPO outsourcing centers. As Tigran already mentioned, this investment will not only support our growth in the second half of the year, but will form the basis for rapid expansion of our businesses in the future. Delivery metrics also saw significant improvement. We finished the second quarter with almost 70% of orders delivered by our own platform. This is compared with less than 50% and much. To remind you all last-mile delivery provides for the best customer experience and has low defect rates. While [indiscernible], our own delivery allows us to improve the quality of service for our customers. Improving the quality of service for our merchants is a top priority for us, which has streamlined merchants onboarding process, and it now takes only 7 days to start selling on our marketplace. This is a steady improvement in general. As we saw encouraging results in the growth of [indiscernible], volume of traffic, improving the efficiency of operations and merchants experience of [indiscernible] began to increase take rates. Since early July, we have increased our base commission from 2% flat previously to a range of 2% to 9% depending on the category. Nevertheless, it's important to note that even with the new commission rate, Yandex market demands the most attractive marketplace for merchants relative to our key competitors. We expect to take this increase to help us gradually improve yield economics going forward. In conclusion, I want to highlight that we are confident in our strategy in e-commerce as we see good progress in GMV growth and in other various metrics. This indicates that our investments are beginning to paying off. To reflect our more EBIT outlook on the businesses, we upgraded our full year guidance for total e-commerce GMV growth to up to 3x from 2.5x previously. Moving to the Q2 performance of our FoodTech services. Despite the best comparison with the second quarter of last year, both Eats and Lavka demonstrated solid growth. Eats orders grew 50% and GV increased 53 year-over-year, where on the 2-year cargo basis also up 74 and GV 87%. Growth was driven in part by our investment in user acquisition, as well as by the growth of our e-grocery vertical whose share is 14% in total Eat orders and 19% in GV in Q2. The introduction of zero delivery fee for first orders of the users earlier this year facilitated solid growth of its user base. Its monthly active users were up 43% in Q2 compared to Q4 of last year. According to internal estimates, our investment in user base and in Eats grocery vertical, in particular, allowed us to grow faster than our competitors in Q2. We expect this investment to position us well, [indiscernible] 2 year stack growth in the second half of 2021. Speaking about Lavka. By the end of Q2, Lavka generated 362 own dark stores, up 82 stores compared to Q1. Half of the new dark stores were open in Moscow and St. Petersburg as an increasing number of stores has reached peak capacity due to high demand in the capitals. Lavka orders increased 3x year-over-year in the second quarter, and 25% compared to the first quarter. Orders [indiscernible] per day increased 45% year-over-year, while that was older than 1-year grew much faster than average in the range of 80% to 110%. Lavka order frequency per user has also grown approximately 20% of Lavka users order more than 8x per month and contribute over 50% of Lavka GMV. Most Lavka and this benefited from enhancement of Plus offering in the services. Currently 40% of its users have 70% plus of Lavka users are Yandex.Plus subscribers. GV per Yandex.Plus user is 44% higher in Eats and 33% higher in Lavka. Now to Taxi. Ride-hailing transfer very encouraging in Q2. On a year-over-year basis, ride increased 104% and GV was up 161% on the back of low comparison base. On the 2-year CAGR basis, our ride-hailing grew 37% in rides and 43% in GMV. In the second quarter, GMV continued to grow faster than ride as various supply and difficult constraints persisted amidst a substantial cover in consumer demand. GV growth was also supported by growth in non-economy tariffs. Share of Ps [ph] increased by approximately 200 basis points in June versus March. As I mentioned on the earnings call in April, in Q2, we invested in driver acquisition in order to maintain the high quality of the service and facilitate first penetration of ride-hailing in the daily life of our users. We think that ride-hailing can be-come a habitual mobility service and by 30 million people across all our geographies. On average, our [indiscernible] completed 6.5 per month. Our cohorts continue to grow. 2018 cohort is currently at over 7 rides per month in Russia and approximately 11 rides in the CIS. While 2020 cohort is approaching 7 rides per month in Russia and 8 rides in CIS. We see better cohort in the region is less developed public transport infrastructure. We expect cohorts to continue to improve in line with the regional growth, as well as with increasing frequency of use in our mature markets. Overall, we are very excited about the prospect of ride-hailing business. Now turning to Yandex.Delivery. Our last-mile logistics solution for both individuals and businesses alike. Monetization model of our last-mile delivery businesses is very similar to what we have in ride-hailing. They take a commission from the total transaction amount that we received from individual users and EBITDA declines for delivery services. This [indiscernible] business which is focused on building its own driver and [indiscernible] supply. In June, we have over 24,000 active drivers and [indiscernible] per day, while the analyzed deliveries run rate exceeded 73 million. On a daily basis visit over 200,000 deliveries in June, 46% of which comes from B2B clients, whose number reached 19.5 K in June. [indiscernible] SMB clients, which are responsible for another 30% of deliveries. While we are in an early stage of delivery development, we see strong demand for such services across a wide range of industries like e-commerce, social e-commerce and general classify groceries and ready to eat industry [indiscernible] business correspondence. This industry is expected to grow significantly over the next few years, while we plan to increase our share in each of these industries up from the current level of low single digits. On the Portal side, the team is currently focused on developing same day and the next day delivery services, as well as significantly increased batch and efficiency. We expect to reach 1 million deliveries per day in 2023. Overall, I'm very proud of what we’ve achieved across the diverse collection of our businesses, all of which was exciting growth opportunities ahead. With this, I’m turning the mic over to Svetlana.
Svetlana Demyashkevich: Thank you, Daniil, and hello, everyone. I would like to start with a comment on our approach to disclosure. Transparency as well as detailed and consistent disclosure is obviously crucial, particularly as the complexity of our business increases. We have taken an important step forward by disclosing all key performance indicators for different businesses within the Taxi group. We have updated our investor presentation materials, which now include a significantly expanded range of key operating and financial indicators, as well as more detailed disclosure by segments. And we also recently published our first sustainability report. We trust that this more robust disclosure will benefit our investors, and we will continue working on further improvements as we go-forward. In terms of results, we delivered a solid 70% like-for-like revenue growth this quarter, driven by strong performance across many verticals. We saw a rapid recovery in advertising and ride-hailing, not only because of the low base effect, but also on the back of the economic rebound as well as our strong execution, which is reflected in steadily improving 2-year stack trends. We continue to see strong growth in Yandex.Market, Media Services and FoodTech, despite the high base effect of last year. Our two largest businesses, advertising and ride-hailing keep generating a high and stable cash flow, which we are able to reinvest in other attractive and fast growing segments. We will continue investing, while of course maintaining financial discipline as well as stable or improving margins in these two businesses. Now, let me walk you through the headline financial numbers for the quarter. Our Search and Portal revenue grew by 54% year-on-year. Such fast growth is obviously affected by low base effects on Q2 2020. But it's important to note that we also accelerated growth on the 2-year stack basis to 16% in Q2 from 13% in Q1. Industry wise this acceleration was primarily driven by the following sectors; IT and telecom, home appliances, consumer electronics and health care. As of now on the two industries remain in negative territory on a 2-year stack basis, travel and real estate. We're seeing continued solid growth in July. The year-on-year dynamic is lower than Q2 due to the visibly high base from Q3 2020 when we begin to see an improvement in ad revenue growth, 2-year stack remains around mid teens. Taking into account recent trends and the stronger-than-expected performance of our ad business in Q2, we're upgrading our full year 2021 guidance for Search and Portal revenue growth to the mid 20s, up from our previous guidance in the high teens. The adjusted EBITDA margin for Q2 2021 came in at 46.2% versus 43% in Q2 2020, reflecting an improved operating leverage effect partially offset by investments into ad tech, our search market share and support of Yandex.Plus. We expect margin in the second half to be higher than in the first half due to seasonally stronger revenue and continuous improvement of online ad industries. We are confident in our ability to deliver a stable margin in Search and Portal for the full year compared to last year. Turning to Taxi. In ride-hailing, we delivered RUB4.7 billion of adjusted EBITDA, which made a meaningful contribution to the Group results this quarter. Our adjusted EBITDA margin, including overhead came to 3.5% as a percentage of GMV. On our estimates, this is the highest among all global public peers and reflects our solid execution and operational efficiency. It's important to note that this is also achieved despite the material increase in our investments into the stabilization of driver under supply. In FoodTech, we continued to demonstrate solid growth despite the high base effect, which we believe is related to a change in consumer behavior and habits and low penetration of the services in Russia. The adjusted EBITDA losses [indiscernible] this quarter and amounted to RUB3.1 billion. This is because of our investments in the scaling up our grocery delivery model in each, as well as an increase in delivery CPO on the back of courier capacity constraints. We expect the losses in FoodTech businesses to come down in second half compared to first half on the back of growing order density and improvements in efficiency. Turning to the Yandex.Market. As Tigran and Daniil already highlighted, we have accelerated our GMV growth for Yandex.Market this quarter, despite the high base effect. We expect to deliver faster growth in the second half, which is reflected in our upgraded full year guidance. To achieve such fast growth, we have to increase our investments. Our spending is evenly split between customer acquisition and retention, and our logistics infrastructure scale up. During the quarter, we expanded our warehouse footprint by 70% and nearly tripled our owned and operated last-mile capabilities. The utilization of this capacity is lower at the start, but we will gradually improve as we grow the scale of our operations. With an adjustment to reflect the relative under utilization of new infrastructure in the initial period, our unit economics increased by five percentage points throughout the second quarter with improvements each month. We envisage this positive trend of improving unit economics to continue in second half, supported by increase of take rates and capacity utilization. E-commerce remains one of our key strategic priorities, given us large total addressable market and attractive growth opportunities. We are confident in our ability to be-come one of the leading players in this space. Internally, we are very pleased with the progress achieved so far and are prepared to invest more, especially if this investments translate into an acceleration of growth, improving competitiveness of our product, operating efficiency and increased shareholder value. Apart from investments into our current stellar growth, this year, we're investing into the foundation for future business expansion, including our fulfillment and logistics capabilities. Consequently, against the backdrop of the strong performance to-date, will feel reassured that accelerated investments now will yield sustainable outsized growth going forward and thus plan to invest more than initially budgeted. Revenue of Media Services classified in all key verticals within other business units and initiatives have all more than doubled on a year-on-year basis, while cloud and devices are growing at 3x. Though the amount of investments across these businesses increase compared to last year, the unit economics improved for almost all of them. More details on these businesses are available in our press release. Let me finish with our 2021 financial outlook. We are upgrading our full year Group revenue forecast to a range of RUB330 billion to RUB340 billion on the back of faster-than-expected growth across key business units. Revenue growth guidance for Search and Portal is upgraded from high teens to mid 20s. And we reiterate our expectation for a stable segment margin for the full year 2021 compared to 2020. We now expect our total e-commerce GMV to grow at 3x, which is faster than our previous guidance of 2.5x for the full year 2021. We expect our ride-hailing GMV to increase by around 60% for the full year. With this, let me turn the microphone back to the operator for the Q&A session.
Operator: [Operator Instructions] The first question we have today comes from the line of Vyacheslav Degtyarev from Goldman Sachs. Please go ahead.
Vyacheslav Degtyarev: Yes. Thank you very much for the presentation. The questions I will start with the first one on the e-commerce. So you have an update on the e-commerce GMV outlook which you increased. Is there a better visibility on the investments for this year? So it looks like directionally you are willing to spend more, but how would you contextualize versus your initial guidance of $400 million to $500 million of investments for 2021. And even probably more importantly, how do you see the investment outlook for the medium term, at least directionally, do you think investments will increase in absolute terms in the coming years or decrease?
Svetlana Demyashkevich: Well, thank you for the question. And to be honest, personally for me, it was probably one of the most important questions for the last 2 months. At the moment, as you know, we're growing faster-than-expected versus our own expectations. And in our internal estimates, we believe we're outperforming the peers and gaining market share. It actually means that we plan to invest around $650 million this year, more than we previously guided. But this will allow us to grow 33% faster in terms of GMV this year as well as to cover almost half of the expected GMV growth next year. About half of this investments is own expansion of our logistics infrastructure, warehouses, sorting centers and delivery capabilities. We expanded our warehouse capacity by 1.8x during the quarter to 257,000 square meters. And we'll finish the year with over 300,000 square meters of just warehouse space. With sorting centers, total logistics capacity will likely to be even higher. Currently, we have 50 sorting centers versus 28 in the Yandex first quarter. We have invested in our own delivery platform and expanded our parcel volume processing capacity by 4x since the beginning of this year, and significantly improved our quality. At start, as I understand, all this new infrastructure is usually underutilized. But it's just a temporary issue. It puts pressure on our unit economics, but we already see positive dynamics. If we adjust underutilization of new infrastructure in the initial period, our unit economics increased by five percentage points for the second quarter with improvements each month. We also invest in business expansion processes improvements and warehouse automation. All this developments will help us to boost utilization and then our unit economics. It's also important to remember that the investments we're making now not only allow us to demonstrate faster-than-expected growth this year, but also form the basis for the future rapid expansion of our operations. If we look at the next year and going forward, of course, e-commerce is our biggest point of growth. And considering the growth of the business size of the market opportunity as well as improvements in quality of offering and unit economics, we are committed to allocate substantial capital in our e-commerce initiatives. It's probably hard to estimate exact amount of investments that we will make next year and beyond. But let me put this way. Taking into account infrastructure objects lead time trajectory of growth, competitive environments, and again the size of the opportunity, it is reasonable to expect comparable spending on e-commerce initiative in the near-term. The exact amount of investment depends on many factors including competitive environment and market situation. But you can be sure that we're reviewing our developments on a regular basis, and rationalize our investments against our progress. We're seeing promising trends in unit economics, which adjusted for infrastructure [indiscernible] improved, as I already mentioned, five percentage points during the quarter, which is [indiscernible] is a very good progress. We're also are highly satisfied with the closely track -- and we closely track our progress in quality of operations, assortments and cohorts improvements, value creation through Plus as well as of course, market share gains. Further progress in this metrics will warrant our ongoing commitment to investing into e-commerce further. Our strategic goal, as you know, is not only to be-come number three player, but to make sure we're constantly improving our market position, and closing the market share gap with our competition. We need to make the journey which took others many years significantly faster, but the value of the opportunity justifies the speed and the investments.
Vyacheslav Degtyarev: Okay. Thank you very much for the detailed answer. My second question would be on the self-driving, basically is a partnership with Grub on the Rover Robots. So would you consider similar type of international partnerships on the side of the self-driving technology specifically on the side of the car segments. It's more difficult to agree on those kinds of partnerships on the self-drive -- driving side versus the Rover side. Is it due to the complexity of the technology, or lack of real use cases to apply, or maybe any other reasons, so any color would be helpful. Thank you very much.
Vadim Marchuk: Slava, hi. This is Vadim. Let me take this one. So look, I think, during the NDR [ph] earlier this summer, we were talking about self-driving technology vis-à-vis Rover technology, right. And one of the points we were making was that we believe that Rovers is the product that is, we can monetize earlier compared to self-driving cars. And this is due to the much more complex regulation that exists or, frankly, doesn't exist yet for self-driving cars. Rovers, on the other hand, they travel much slower, they're much smaller, they do not present danger to humans, etcetera, etcetera. And therefore, we see Grubhub partnership is something that allows us to test at scale the user case, whereby the Rover will actually substitute a couriers, right, for the last-mile delivery of whether it's going to be food from restaurants, or maybe like small parcels, etcetera, for e-com. And if you will look at the announcement itself, right, I mean, we did this partnership with Grubhub Campus, which operates at 250 university campuses in the U.S., which I think has a combined population of around 3 million students. The cool thing here, right, the Rovers, that uses somewhat -- they have a more limited use case, because they can only get to the building, but they cannot go up the stairs. And it works perfectly well in campuses, because the couriers typically are not allowed to enter dormitories. And therefore, the students are used to come down the stairs and pick up food. So this is going to be similar user experience, right? We're not going to sacrifice user experience in exchange for combining with Rovers. Now going back to SDG, the self-driving group, right, even though I did mention earlier that the regulation is going to take longer for us to get there, it depends country by country. At the same time, it's -- I do think it's important to mention that in Russia, there is a new Federal Law that was recently signed, which established regulatory sandbox for, call it digitally innovative products and projects. And we plan to use this opportunity in order to create regulatory sandboxes to in some places to switch to completely and fully autonomous taxis, and maybe even launch kind of fully autonomous taxi in one of the Moscow districts. The launches of those products or projects, is a function of government approval of those specific projects.
Vyacheslav Degtyarev: Thank you very much.
Operator: We will now move to our next question from Cesar Tiron from Bank of America. Please go ahead. Your line is open.
Cesar Tiron: Hi, everyone. Thanks so much for the call and the opportunity to ask questions. I'll ask my first question on e-commerce. What's your long-term ambition for 3P versus 1 P mix, and how long do you think you need to get to the -- to that right mix? Because this is probably one we should start to see some reacceleration of e-commerce revenue, not talking about GMV, but revenue. Thank you.
Vadim Marchuk: Cesar, hi. This is Vadim. Let me take this one as well. Look, I mean, it's a very good question, right and I think we wish we would know the future. We could debate like, what is the ideal, or what is the kind of the end state model would be for any large marketplace, and what the proper combination. The way we think about it, obviously from a perspective of -- from a perspective of kind of the user experience, right, in order for us to and from perspective of our economics in order for us to maximize our P&L and our kind of unit economics, we would obviously would want to have more with 3P compared to 1P. At the same time, we're going to be focused on balancing the revenue mix to maximize customer satisfaction, user experience, assortment growth and economics. At the same time, we do need to have 1P in order to make sure that we fully cover the whole shelf of SKUs, and the highly demanded and highly thought for products present on our marketplace. And therefore we do need to have some of 1P in order to drive 3P in the correct direction.
Cesar Tiron: Thank you so much. That was very clear. And then just to follow-up on e-commerce, what was -- what has been the initial response from merchants and new competitors as well, on the increase in take rates? And do you think there's room to further increase those take rates in the future? Thank you.
Vadim Marchuk: Hi, Cesar. This is Vadim yet again. So look, we did increase our take rates, right. And this is coming after a significant decrease back at the beginning of the year. And I think we spoke again, the same roadshow that I referred, Slava to that we had [indiscernible] earlier this summer, the way we think about take rates, right, this is just one of the components of overall product for merchants, right. So you shouldn't only look at the kind of monetary terms, you also need to look at how much traffic we are providing, how much cost -- support for them, how easy it is to get onboarding on our side, how easy it is to actually list the products on our properties, etcetera, etcetera. So when we think about take rates, right, as we improve other components of our, like merchants platform, we feel that we can increase our take rate as well. So if you were kind of around 2% flat across the categories, now we're between 2% to 9%, depending on the category, and that increase happen since July. The way -- the response from the merchant so far has been fairly constructive. We more than doubled -- and the way to think about it, right, we more than doubled the amount of business for them since the beginning of this year. And our -- other components of our offering to the merchants continue to improve. And therefore onboarding improved, we continue to streamline our processes. So frankly, we haven't seen that much of kind of complaining, and they're fine with that. In terms of what can be done in the future, so look, let me say the following. We still remain the most attractive in terms of pricing on the market right now. Obviously, were -- how far we can go in the future is very much -- is the equation of what our competitors are going to do. And at the same time, how well are we going to improve other components of our merchant offering.
Cesar Tiron: Thank you so much. Very helpful.
Operator: And we will now move to our next question from Vladimir Bespalov from VTB Capital. Please go ahead. Your line is open.
Vladimir Bespalov: Hello, congratulations on the number and thank you for taking my questions. I actually have two questions. One is on ride-hailing and profitability profile. We see some decrease in the EBITDA margin in the second quarter compared to the first quarter, even though the margin is still very high. So maybe could you provide some color what is behind this? And in general, how you're going to manage and to balance investments, managing competitive pressures, growth and things like this. Plus, in addition to this, is the margin that you showed in the second quarter kind of sustainable in the short-term, or in general, how do you see the trajectory [ph], let's say over the next 1, 2 years for ride-hailing? And my second question will be on e-commerce. If we pleat your e-commerce exposure into Yandex.Market and the grocery, Yandex.Market is accelerating, but in grocery you followed both year-on-year and quarter-on-quarter. There is some kind of slow down. Maybe could you comment what is going on? This looks a little bit counterintuitive. And given that you expected further acceleration of the total GMV in e-commerce in the second half of the year, how this is going to be split between Yandex.Market and the grocery exposure? Thank you.
Tigran Khudaverdyan: Hey, Vladimir, it's Tigran. Good to hear from you. Let me tackle your question on ride-hailing and I will pass it on to the rest of the team on e-com. So let me walk you through to sort of the trends of what was happening in the second quarter. You may remember that on the call last quarter, we mentioned that profitability was very high, but it was also held by unusual even for Russia, snowing, cold conditions for a long period of time in the first quarter. And it certainly helped profitability [indiscernible] it's unlikely that it will stay that high for the year. And then in the second quarter, we also invested RUB1.4 billion in driver incentives and acquisition, and also vaccination initiative sort of to address the increasing level under supply in the system. And driver and supply remains a significant issue for us and the whole market. The borders remain closed. And we're also now facing seasonal competition from other industries, such as construction and agriculture. But given our initiatives combating this, we think we brought under supply down to 20% level versus what it would have been something like 40%, if we haven't done anything and haven't invested. This RUB1.4 billion does not include the cost of competition with DD [ph]. In the second quarter, we don't really break down for obvious competitive reasons how much we invest in that. But DD launched in 2020 in the cities where the sort of the initial launches happen, we think their share has come down to half of what it was at peak times there. They recently launched in 27 new cities in May in Russia, and that probably represents something like 10% of our total GMV. But as you’ve seen we've been very efficient and effective in competing with them across all geographies. I think this will remain the case. Obviously, competition comes with additional cost. But I think our experience demonstrate that these costs are limited in time, and they actually expand the total market. And market leaders actually benefit from sort of trip inflation and pressure on smaller players. So Ergo, in June, our rights grew 76% in those 20 cities where they launched, while total rights grew something like low 60s year-over-year. But all in all, our EBITDA margin including overhead costs as Vadim mentioned on previous -- on initial remarks came in at 3.5% of GMV. And we believe if we're not the most efficient, we are certainly one of the most efficient ride-hailing companies globally versus our public peers. Our operational expenditures, and HR costs half of our closest public peer as percentage of GMV. And this allows us to be one of the most profitable ride-hailing companies since 2018. And that's despite us maintaining a low effective take rate of 10% of the low. Now looking to the second half of the year, we will invest in driver supply, we will invest in vaccination initiatives, and we will focus on key new social initiatives for drivers and couriers as well. However, all things being equal, we think adjusted EBITDA margin as a percent of GMV in 2021 will increase versus 2020. Of course, barring any sort of very significant changes in the competitive landscape, or any severe adverse COVID related measures. We believe, looking forward, ride-hailing has substantial room for growth in Russia and beyond. And going forward, we will continue to improve operational leverage and benefit from our efficient cost structure. We will reinvest a portion of that in growth. But we target to improve profitability each sequential years in the next two years, again, all things being equal. And as you know, we have a successful track record in balancing investment versus growth ride-hailing, and we plan to maintain that.
Vadim Marchuk: Vadim -- this is Vadim speaking. Let me take your second question with respect to FoodTech and e-com. So look, I mean, it's -- I mean, if you see your point, right, the thing, what you do need to consider is that there was a multiple effects, right, that are kind of combined in the numbers that we reported. So when you think about our FoodTech, it essentially consists of three lines of business. So the first one is Yandex.Eats, which is the usual delivery of food from restaurants, right. The second one is Lavka, our hyper local dark stores. And the third one, which is kind of the news business that we have is the eGrocery component of Yandex.Eats, whereby users can order groceries from kind of the retail chains that they're used to. Now, all have somewhat different dynamics. So first and foremost, do keep in mind that Lavka and Yandex.Eats, the restaurant component were beneficiaries from the COVID situation last year. So when you look at the growth rates this year, you do need to keep an eye just -- understand that we are comparing to pre-tough comps last year, and therefore we are already growing from pre-high base. The second thing here is that as we already -- our guidance suggests we expect that overall our e-commerce GMV, which includes our marketplace, Lavka and Yandex. Eats, a portion of our eGrocery delivery is going to grow overall 3x year-over-year. We don't really disclose the split between businesses. And we would prefer not to give such a detailed breakdown line by line.
Vladimir Bespalov: Thank you very much.
Operator: We'll now take our next question again from Cesar Tiron from Bank of America. Please go ahead. Your line is open.
Cesar Tiron: Yes. Hi, again. Thanks for taking another question for me. Just wanted to ask also on Taxi, Taxi regulation. There's been a couple of press articles suggesting some potential limitation to driver working hours and a couple of other regulations. Do you have anything to say on the things? Thank you.
Daniil Shuleyko: Well, let me take on driver hours and then I'll speak more generally about initiatives. But instead of -- we believe that Moscow and other municipalities will follow the best practice measures in line that was that have been implemented a number of markets around the world, including U.S and Europe. And assuming the system develops along those lines, this was definitely contributed to increase in safety, and we support this. But we also think it will continue to be satisfactory from an economic standpoint for drivers, fleet management companies and for us platforms. As for a sort of a wider ride-hailing social benefits discussion and initiatives, first of all, we're monitoring driver earnings on region by region basis. And it's very important to note that. Income received bar drivers and couriers significantly exceeds minimum wages in Russia, and often matches or exceeds the average income in a particular region. And in terms of social benefits, we have already pioneered a number of measures. We think those will set the standard for the industry as a whole. So for example, in March this year, we started to provide an option for self employed to voluntary join an insurance program, which provides payments covering sick leave. And going forward, we plan to provide a number of insurance and other products with varying degrees of courage, which self employed will be able to choose depending on what their personal needs are. And remember, Russia already has universal health coverage. That's not the only example. We were at the forefront of developing the self employed employment concept together with authorities. Now, on ARPU, we have nearly 100,000 self employed drivers and couriers on our platform. In Russia, the total number is approaching 3 million. We were the first ride-hailing company in the country to introduce accident insurance for drivers and passengers, significant coverage, despite this not yet being a legal requirement in the industry still. And so we're in constant dialogue with authorities at all levels over these issues. And we believe our relationship with them was constructive and efficient.
Vadim Marchuk: And let me add a little bit to this. This is Vadim speaking. So look, I mean, as Daniil just kind of pointed out and listed on the set of examples. Look, the key -- obviously, all of us kind of seeing what's happening in China right now, right? And I assume, like a lot of investors and you guys have questions in your mind whether something similar would be happening in Russia, etcetera, etcetera. And the way we think about it, the way we approach it, the key to all of those discussions is to be proactive, right? So Taxi is a perfect example of where we actually were kind of initiated discussions, and state practice and tried to prevent or foresee some of those kind of conversations and come with a solution to the state, right. And overall, on the broader kind of group level, we are seeing no changes in our relationship with authorities. The relationship remains open and constructive. I mean, obviously, in Russia, as in any other country, there is a lot of discussion right now around digital platforms, digital ecosystems. And this is understandable, because digital platforms are be-coming a larger and larger part of everyone's live, whether there's going to be related to data, whether it's going to be related to social activity, etcetera, etcetera. What's happening in Russia right now, the authorities obviously would like to -- they're focused on building a clear framework to resolve any conflicts in order to help innovation and accelerate the development of the digital economy. And at the same time the state bodies are quite explicit in their statements that the National Economic Development requires the support for local service assistance, because we do need to compete with global tech platforms. And if Russia wants to maintain their uniqueness over tax sector going forward, the state understands that and they're willing to support the platforms here.
Cesar Tiron: Thank you. That was very helpful.
Operator: And we will now move to our next question coming from Kirill Panarin from Renaissance. Your line is open.
Kirill Panarin: Yes, hello, everyone and thanks for taking my questions. Two questions, please. Firstly, on Search profitability. So you've raised your Search revenue guidance already twice this year. And I just wonder why that didn't translate into a stronger margin outlook versus your initial expectations. Are there new investments areas, which you didn't plan in the beginning of the year? That's the first question. And then secondly, on Yandex.Plus, the number of subscribers was flat quarter-on-quarter. Is that explained by seasonality? Or maybe you've seen an increased churn? Any color there, please? And also, could you share some data around the mix between single and multi subscriptions? What's the share of multi subscriptions and what's the average number of active users filling up per multi subscription? That's it. Thank you.
Svetlana Demyashkevich: So to start on ad revenue growth, there is still uncertainty around COVID. And the case is starting to pick up in June, as you know. So we have not seen so much of an impact yet. But still possible, if situation escalates, and the pace of vaccination will be slower. So second half was seasonally stronger than first half, which is reflected in our guidance. We will also our RBC revenue declined further also part of revenue growth. In Search and Portal margins, we expect margin in second half of the year to be higher than the first half due to seasonally strong revenue and continuous improvement of online ad industries, cost optimization and efficiency improvements.
Daniil Shuleyko: And, Sveta, if I may continue, just to wrap up the first question. So, look, I mean, Kirill, your question is right. I mean, if we're growing faster, you would -- obviously, every additional ruble of our revenue comes was a kind of -- was a great incremental margin, right. One of the things that we tried to do as well is to continue to reinvest for future growth, at the same time keeping our Search and Portal margins pretty stable at the current levels. And one of the things that we kind of mentioned during our script is some of the initiatives that we have, whether it's new ad tech and focusing on the CPA based conversion instruments, whether it's going to be Campaign Wizards for it's kind of our smaller clients, that kind of -- that’s asking for simply instruments, etcetera, etcetera. And we're seeing results of those kind of investments into additional growth. So for example, the share of CPA based conversion instruments is already exceeding 25%, right. And this is something that the advertisers are paying for a specific action that they want to optimize as opposed to for a simple click. That is much easier to understand and more transparent tool for advertisers. And therefore what we're also seeing, we are seeing that our share in their wallets right is increasing, because they’re understanding very well, what they're paying for using our ad services. Similarly like Campaign Wizards, right is super simple, well, significantly simply here tool to manage the process of creating ad campaigns. And what it really helps, it helps was retention. So our clients are staying longer compared to those that use kind of the professional interface. Finally, also we talked -- we kept talking about the kind of simplified products for small and medium sized businesses, right. And this is something that we covered through our subscription product. And right now over 20% of all our new clients, already the clients that are coming to the subscription services. Another investment that we make in our ad kind of segment is focusing -- we are focused on improving our monetization by increasing market share on iOS devices. And together with kind of those system that they search and some pre-installation laws, we also do targeted investment into increasing our share on Apple on iOS devices. And that's kind of all in all, this is the answer to question. We are growing faster than expected. We are maintaining our margin and reinvesting the additional cash we generate into surge kind of initiatives. Now going to your second question with respect to Plus, yes, you're right. The growth in this quarter in the second quarter in Yandex.Plus subscribers did slow down. It is a seasonal effect. Overall, like in the second quarter, typically people tend to spend more time outdoors compared to the periods when it is cold outside. And if you were to look at what happened last year, you would see exactly kind of similar slowdown, which would pick up in the second kind of towards the latter part of the year.
Kirill Panarin: Great. Thank you. Any color on the multi subscriptions, please?
Daniil Shuleyko: Question then what exactly is multi subscription? Lets agree on the definition here. Because this is not something …
Kirill Panarin: Yes, I mean, I think -- yes, I think you have some kind of family subscriptions, which allow several people to use one subscription for all the benefits of Yandex.Plus?
Daniil Shuleyko: Look, I mean, we do have those numbers, somewhere. I don't have it on top of my head. How about we come back with it afterwards? I mean, from kind of personal experience, I’ve a subscription and all members of my family use it. And I have a suspicion that many people do the same for their households.
Kirill Panarin: Yes, that makes sense. Okay, thanks. Thanks for the answers.
Operator: We will now move to our next question from Miriam Adisa from Morgan Stanley. Please go ahead.
Miriam Adisa: Great. Thanks for taking my questions. The first one is just a follow-up on e-commerce again. Just on the fulfillment services this time, what are you currently providing for merchants? And how does your pricing on that compared to peers, and how should we think about the ramp up of that? I guess, if we look at some of your peers, they're at sort of 50% of 3P GMV? What are your own targets in terms of the share of GMV done through your own fulfillment, let's say, by the end of next year? Thanks.
Vadim Marchuk: So, Miriam, hi. This is Vadim. Let me take this one. So, look, a couple of things. With respect to the kind of the Ps, right, this is something that was covered by the question asked earlier, right, how much are we charging. We're still more attractive in purely -- like in dollar terms, if you will, compared to our major competitors. The way that our grocers supported now, right, and this is actually quite interesting, because we've been talking about the significant increase in our SKUs, right, as a choice. One of the reasons we were managed to achieve that was because of the conversion from CPC to CPA model, right. So that allowed us to significantly increase our SKUs. The reason we were able to do it so fast is because we introduced the new model, which is called dropship by seller. And this is something that we don't store and therefore we don't really charge the fulfillment fees. But this is fully kind of fulfilled and delivered by the merchant itself. So some of those pieces, we've seen kind of quite a significant growth there. Approximately 20% of our GMV is currently done via dropship by seller. The trends in that particular category, we do expect that it will continue to grow, but we will be shifting some of those -- we will be adjusting and optimizing our mix to maximize and maintain the customer satisfaction and user experience. At the same time focusing on the unit, the unit economics and capital allocation, because keep in mind that dropship by seller this is profitable channel for us already to date, because we just get a commission on the sale without having to fulfill or delivered.
Miriam Adisa: Got it. Thank you. Then my second question is just on grocery. So you seem to have ramped up the number of dark stores again in the quarter. So how should we think about sort of further expansion from here, particularly expansion outside of Moscow and St. Petersburg. And then also, if you could just share your latest thoughts on the different models in grocery so that the 1P versus 3P model, do you have any changes in your approaches to that? Or how are you thinking about the mix between the two models over time?
Yevgeny Senderov: Yes, hello. This is Yevgeny again. So, Lavka is currently our hyperlocal instant delivery from dark stores model. Its currently focused on dark store expansion, growing number of orders per dark store. I think, in our sort of, let's call it mature regions, like Moscow, we see unit economic improvement, and we actually expect Moscow to turn profitable in less than a year from now, a year from now. And we think in that business, sort of the profitability level will be in line with offline grocery retailers longer term. As far as these grocery vertical, again, take rates in this business are lower than restaurant delivery, but high average checks. But we already talked about it. Density of orders and user demand have not achieved much levels in this business. CPO is was very high, especially we also started offering Q2 not only delivery, but pickers in stores. And that also negatively affects CPO given the low order density and low -- currently low utilization rates, but we're making a lot of efficiency improvements targeted at decreasing CPO. And these improvements are allowing us to decrease CPO each sequential month. So, for example, in June, the CPO was 10% below April levels. And again, unit economics is a top -- unit economic improvement is a top priority for us in the grocery vertical. We think it will continue to improve along with our efficiency initiatives as the business grows. And as the order density increases, and now with the long-term profitability of the gross vertical should be in line with leading global peers, which recently have just turned profitable on EBITDA level.
Daniil Shuleyko: Let me just add one point. Miriam, I think you also asked about the increase in Lavka stores, right. So most -- this very significant portion of that increase actually coming from the increase -- from the opening of new dark stores in the capitals, because our existing stores already reached their capacity. So the way to think about it, right, we have kind of a certain radius, right, and Lavka operate there. Once it hits the kind of the maximum theoretical throughput, you do need to open another store to serve still the same kind of radius, right. It has two components there because it doesn't prove the delivery time, because of this, the radius be-comes smaller for that particular Lavka and you able to kind of shift some of the orders that -- the first Lavka was having difficulty serving right to the newly opened location. So most of the dark stores we open -- opened in the capitals, in the regions we do -- we have open in some of the cities. Because of the economic conditions, it's got to be somewhat a different product and we are focused on figuring out the right mix for the regions right now.
Miriam Adisa: That's clear. Thank you.
Operator: We will now move to our last question that will come from Ildar Davletshin from Wood & Co. Please go ahead.
Ildar Davletshin: All right. Thank you very much. Yes, my question was on -- one was on international expansion on kind of addressing entering new markets. So this Grubhub deal is very, very encouraging. I'm wondering within your products and services, and quite a few of them are highly competitive on the global scale, which ones are you also thinking about? And also, which potential areas or regions are you thinking about? And maybe on the reverse side, are there any regions where you may want to limit your exposure to improve the economics of the overall vertical? I'm talking particularly about the ride-hailing because I think you're in about 15 countries. That would be my first question. And if I may, I missed part of the call, so apologize if it was already addressed. The station around under supply of the drivers, it seems like it's one of the reasons behind weaker or sequentially a reduction in profitability of the ride-hailing. And I'm wondering how much of it is structural versus temporary. So lack of migrants and closed borders, which probably is less the case now versus just overall rush to get all these delivery business by all kinds of players, which increases demand for couriers and drivers overall. So I'm just wondering, you see this situation improving with supply of drivers in the mid-term? Thank you.
Yevgeny Senderov: Ildar, hi. Yevgeny, again. Let me start and I will start with ride-hailing. We've actually -- if we come look at our sort of portfolio across the Taxi business in particular, we've actually seen a number of very encouraging developments in some of our markets. So we're very strong, obviously in the former Soviet Union. But we've seen, for example, in Finland be-come -- it's not a huge business, but it's economics have improved significantly over the past year or so. So we will look selectively and very carefully, but at certain markets, where we think we have a competitive edge, or a competitive advantage in entering. Same thing, our drive business, for example, has developed certain auxiliary skills, which are actually be-coming very valuable, very interested in a global market as a whole. For example, we have leading fleet management software as well as hardware developed. And we think we have actually a very globally competitive product that we have some initial inbound interest in. So, we'll approach international expansion very carefully. We're focused on our core markets, but certain interesting ideas or certain markets where we think it could be interesting, we will develop.
Vadim Marchuk: And, Ildar, let me add to this. This is Vadim speaking. So, look, I mean, I think probably kind of if you were to think about international opportunities for us, in more general terms, kind of the bigger picture, I mean, we did bring up the Grubhub kind of partnership that we signed earlier last month. The way we think about our opportunities, or the windows of opportunities for us, if you do think that in places whereby there is kind of call it a new business models, so for example, Lavka, right, this is something that is currently being developed in Western Europe, in the U.S., actually somewhat later that it started being developed by us here in Russia. And we do think that we could have an edge. It was our ability to kind of route the couriers to the warehouse -- the small warehouse management system, etcetera, etcetera, or whether -- so this is one category -- the new kind of business models that are actually emerging right now. The second one where we think we could have an edge is kind of cutting edge technologists, no pun intended, where everybody's -- there was no established market yet. So, for example, Rover or SDG, would be a good example. A third category is kind of a very high tech R&D heavy businesses such as cloud because what we understand our product offering is very competitive. And not only in Russia, but also in international and international kind of scene. So, at the same time going to the places which already quite crowded, so for example, ride-hailing in kind of well developed markets, like U.S., or U.K., etcetera, etcetera, it's obviously going to be [indiscernible]. And we don't necessarily have a competitive edge. So we're going to be very smart when we look at the kind of international expansion opportunities and see wherever we have kind of inbuilt advantage and try to exploit it to the fullest.
Ildar Davletshin: All right. Thank you. You maybe [indiscernible].
Tigran Khudaverdyan: Quickly, I think I wanted to add to your question about sort of the structural profitability of ride-hailing. So, drawing in some of their earlier comments for me and the rest of our team, I think we are, if not the most efficient than one of the most efficient structurally ride-hailing operators globally when we examine ourselves against our public peers. I think this is -- and again, our plan is to continue to grow, but also to improve EBITDA profitability each year -- for the next several years versus previous levels. And this year we plan to improve profitability --- EBITDA profitability versus 2020. And again, we will reinvest a portion in our future growth. But that forecast of improving profitability accounts for that reinvestment, again, barring any seismic events, such as COVID quarantines, or very significant competitive landscape changes where we will aggressively defend our market leadership.
Ildar Davletshin: Okay. Thank you very much.
Operator: This concludes today’s question-and-answer session. So I would like to hand back to our speakers now for any additional or closing remarks.
Yulia Gerasimova: Yes. This is Yulia, again. Thank you very much for all your questions. If you have any more questions, please reach out the IR team. We will be able to help you. Thank you and have a good day.
Operator: Ladies and gentlemen, this does conclude the conference for today. Thank you for participating. You may all now disconnect.